Operator: Thank you for standing by. This is the conference operator. Welcome to the Electra Third Quarter 2023 Results Conference Call. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Joe Racanelli, Vice President, Investor Relations with Electra Battery Materials Corporation. Please go ahead.
Joe Racanelli: Thank you, Galine, and good morning, everyone. Thank you for joining us today for our Q3 call. We do have quite a bit of material to go through before I turn it over to Trent. I want to point out a couple of things. All of our disclosure material related to our Q3 results, including the MD&A, financial statements and the press release were issued last night. They've been filed on SEDAR and they're also available on our website. We will be making use of a presentation today. That presentation is on our website, and I encourage you to follow along. I do want to make note that we will be making some forward-looking statements under the meaning of safe harbor. And as well, I want to point out that we will have a Q&A session today that will be open to the analysts who do follow us. For any shareholders that would have additional questions. Please reach out to me at any time. And so with that, I do want to point out that in addition to Trent Mell as CEO; we do have Peter Park, our CFO, on the line with us; as well as Mark Trevisiol, who is our VP of Project Development. So with that, let me turn it over to Trent for his opening remarks.
Trent Mell: Thank you, Joe. Good morning, everybody. So yes, I'll start. Peter will say a few words, then Mark, I will wrap up before we open the call up to questions from our analysts. So over the past quarter, since completing the re-baseline engineering report on our cobalt refinery, we've been particularly focused on our capital, our balance sheet, strengthening the balance sheet in 2 ways: one, despite some pretty tough markets and uncertainty, that hopefully -- that peaked, at least in regards to inflation, we did get pretty strong support, raising CAD 21.5 million in the month of August to support our efforts and energy proceeds. In addition to that, over the quarter, we -- I think we received some real encouragement from sources for nondilutive financing that could get us to USD 60 million amount that we're going to need to complete our refinery, so some great progress there. I can't say much about the latter part, but we can come back to it if we like. On the other developments listed here, we're going to go through these, so I won't dwell on it too much. But Slide 4 here talks about the black mass trial, that Mark will go into some detail about, Three Fires and formalizing or advancing our joint venture. I'll come back to that at the end. And then this partnership, commercial relationship with LG, cornerstone partner, that now is a really, really great partner for us as well. So before we elaborate on all that, so why don't we go to Peter, and he will review our liquidity and talk about Q3 highlights.
Peter Park: Thank you, Trent. Good morning, everyone. I would like to begin my remarks with a review of our liquidity position found on Slide 6. At the end of Q3, we held $15.7 million in cash and marketable securities. This was up from $7.4 million held at the end of Q2. The increase was driven by our equity financing that generated gross proceeds of $21.5 million, but offset by capital costs related to the construction of the refinery project and costs related to the running of our black mass trial. I should point out that our cash balance at the end of Q3 did not include the remaining $5.1 million of government investments expected to be received. Cash management remains a key priority, and we have undertaken a number of steps to reduce the costs and manage expenses since the start of the year. Among these include a reduction of the owner's team to 12 individuals from 30 we had at the end of 2022, reducing G&A costs at the head office and limiting the use of consultants and advisers. There are a couple of other financial highlights of Q3 that I would like to bring to everyone's attention, as noted on Slide 7. Our net loss for the period was $9.2 million, of which $4.4 million was due to fair value adjustments relating to our convertible notes. The adjustments are financial in nature and noncash. I also want to point out that our financial statements for Q3 included a reclassification of our convertible notes from long-term to current liabilities due to the timing of the waiver received from our lenders relating to our registration statement, allowing for the resale of the underlying securities not yet being completed. The waiver has been received subsequent to quarter end, and as a result, the liabilities associated with the convertible notes are now classified as long term. The delay in the receipt of the waiver, unfortunately, had a bearing on our reporting time line. That concludes my remarks. I will now turn the call over to Mark for an update on our refinery project.
Mark Trevisiol: Thanks, Peter. Let's skip up to Slide 9. Although our efforts at the refinery in Q3 were primarily spent on conducting our black mass trials. Some gains were made on our cobalt sulfate project as well. Just recapping what our site looked like about 2 years ago. Slide 9 shows our site back in June of 2021. The subsequent slide, Slide 10, if we go to that, shows some of the construction that has happened in the time period as this fall of 2023. And so you can see there's an extensive amount of work that has been completed, a lot of work around solvent extraction and crystallization. So the most noteworthy of this is the white building, which is a solvent extraction plant up in the right-hand corner. Once fully commissioned, this building will be where we will be separating the majority of the impurities of our feed and making better than 99.99% pure battery-grade cobalt sulfate solution. And that solution would then get crystallized as what we would call the final heptahydrate cobalt sulfate powder. You can see from the slide, all of the shell of that big white billing is completed. So things such as the footing, the foundations, the roofing, not so visible as the inside of the building, obviously. but there's over 33 solvent extraction cells that have been placed within the building and -- as well as some accompanying holding vessels. Also noteworthy is the completed work on the crystallizer circuit, and we'll be talking about that in the next slide. So Slide 11 shows a nice view of the crystallizer. In this circuit, we'll be essentially taking installment from the cobalt solvent extraction circuits of the cobalt sulfate. It's basically getting vaporized in the falling film evaporator and then being crystallized within the crystallizer. I should point out that the crystallizer circuit contains the falling film evaporator, and that was the vessel that we put out an announcement on a number of months back that was damaged during shipping. And you can see the top of that vessel on the left-hand side is just protruding through the roof. And then right in front is the main crystallizer vessel, which stretches about 50 feet long and about 8 feet in diameter. Some recent activities around the cobalt sulfate project. We've received a number of longer lead items. This includes -- again, most of it is around the solvent extraction plant. A lot of these vessels were manufactured overseas. There was a number of delays in getting them here, not only getting them here, but getting them fabricated. We finally got the final shipment back in September, so we're happy that all of that equipment is here. But there's still some equipment that we're waiting on the electrical side that has to come to site. And that should be at site within the next 6 weeks or so. And again, I mean finishing the installation of the equipment delivered at site will occur as we secure capital funding for the project. And some of these numbers you've seen before. The updated project costs are in the range of USD 113 million to USD 122 million. And the current estimate to complete is around USD 55 million to USD 62 million. So we've done the re-baseline engineering. The report was done by an EPCM contractor. The estimate in that report, a cost estimate was reviewed by a third-party estimator. A number of areas driving costs. We see inflation at our grocery store of 5%, 7%, 8%. On the industrial side, when you're talking steel, when you're talking stainless steel, some concrete piping, valving, we've seen as much as 50% increases in cost. And that was something that was just not projected. And many -- most of it linked -- a lot of it linked to the COVID-19 pandemic. But we'd like to add that the updated project economics has significantly derisked the refinery project. So our next steps, again, work on project funding and try to make it as nondilutive as we can, continue to receive some items at site. As I mentioned, some electrical components are still yet to come to site. And we'll continue with the black mass recycling trial. And just on black mass, a quick update. Slide 16. We extended the recycling trial through to Q4. The goals are to test the hydromet process, which we developed in-house and target the recovery of high-value metals such as nickel, cobalt, lithium. Those are the higher value meals. We're also recovering manganese and graphite. Critical success factors for the trial, number one, it's got to be safe; and it's got to be environmentally compliant with all the rules that we operate under within Ontario. We're aiming to maximize our recovery rates. I'm going to touch on that shortly. We've made some great gains there and determine the throughput rate that we need for economic viability. So some -- on Slide 17, some of the results that we've had in the trial. Recovery rates for some individual processing steps are at or superior to the results that we've achieved in the lab setting. We've especially seen this on our manganese recoveries within the last number of months. And we've also seen this in terms of the product grade and recovery rates for nickel and for cobalt. So the MHP product that we're making, the grade of the product is exceeding what we got in the lab. We are now touching on nearly 50% nickel plus cobalt in our MHD product. And a number of the impurities have significantly dropped, impurities that would maybe not be an issue to us, but more for a downstream refiner, such as fluoride, manganese, copper. We've seen significant orders of magnitude drops in that. And we've been able to do that by running the batches in the plant and tweaking reagent addition, tweaking retention times, temperature, a few tools at our disposal that we've managed to work with to get these improvements. So we've treated about 40 tonnes of black mass, and we shipped about 20 tonnes of nickel, cobalt, MHP to date. And we are recovering lithium carbonate. It's a significant element used in making batteries, and we continue to work to refine that to a higher grade product. And as I mentioned, we've made significant improvements on manganese recoveries with chloride reductions. Our next steps, we'll continue to work away at optimizing the hydromet process, improving product security levels and recoveries and reducing moisture levels. Optimization involves working with what we call a METSIM model, which is a metallurgical model that looks at the mass balance and the heat balance and allows us to move around our process flow diagrams accordingly to try to maximize how the process works. And we're going to study the cost to make an LME-grade cobalt and an industrial-grade lithium carbonate. We can see that the added value that is generated by having greater payable is significant in this business, so we'd like to explore that a little bit more. We're working on a final summary report on what we did at site and the work that has been done and all the data that's been gathered and, again, look at a path to commercialization and how that fits into the work that we're doing with Three Fires and trying to make an integrated recycling business plan. I'll now turn the call back over to Trent for some closing remarks.
Trent Mell: Thanks for that, Mark. Before I go to Page 20, I do want to pause and congratulate Mark and the team. So George, Hayden, the folks at site and the commercial support from Michael and Andre. What we are doing there at site on the recycling, with the benefit of a permitted facility that -- with a world-class lab, the team and the existing refinery that's being recommissioned, we're in a class of one here in North America. A lot of people are talking about it. This team is doing it. And I'm really proud of what we've accomplished, plant scale, no less. And I think our approach is being rewarded. We're making a quality MHP, and it keeps getting better. The same thing with the lithium carbonate, we've learned a lot. We'll make some capital investments to make that even better. And the reason we're still doing this 11 months later is because we keep learning and benefiting from the growing experience of the team there, so hats off. Now on Slide 20, let's turn to a couple of the strategic initiatives that we're working on. There are a bunch, 2 of note 1, of course, is LG. So if we look back to September of '22, that's when we initially had the signing ceremony for a binding term sheet that basically provided for 60% of our production going to LG over a 3-year period. And even in the face of some delays with the inflation that, frankly, the entire industry has faced, LG was keen to work with us and to extend the contract because the need for cobalt is not today. It's really '25 onward, right, as the supply chain really picks up, and these battery plants are installed. Let's not forget LG, second largest battery maker in the world, the largest outside of China. They are building one plant in Europe, but they're building 6 battery plants with partners here in North America. So this is an important market for them. 5-year contracts from 3, 19,000 tonnes of cobalt over that period. So that's going to be up to 80% of our production and more than a 2.5x increase in the total volume under contract from our initial announcement the year prior. And they've been really, really good partner. I can't say enough about the relationship we've got there and the support they've shown us. The other part, I guess, the other hailed hallmark of that agreement, and I hammered this home a lot with investors, whether it be recycling, whether it be cobalt refining and one day, nickel refining, our objective is to try to insulate the company and our shareholders from the wild swings that commodity markets are known for. So it's not quite a total type structure, but the idea of the arrangement that we entered into there and others that we're looking at is to have steady earnings that provide us with a good rate of return and a floor without the -- again, without the downside pressure, certainly, of the commodities market. And this contract, I think we've said it before in the past, it's a big contract, USD 620 million worth of cobalt to the battery maker under this contract. So that's on LG. We can come back to that if there are questions. And now I want to go to '21 and talk about Three Fires. Three Fires is an economic development agency for First Nations groups in Southern Ontario, great track record in consultation in advising other First Nations. They've got their hands in a lot of businesses, and they work with some pretty impressive partners, and we're delighted to be a part of them. Relationship early on, we were looking at a strategic investment. For reasons -- various reasons, we paused that. We did our financing. We're able to complete the financing without that investment, and we've kind of doubled down really on the commercial side than the formation through an MOU, initially, of a primary recycling business, so otherwise known as a shredding business. Within their traditional territory, there are a couple of battery plants coming. And so the idea for us is to extend our supply chain and be able to participate not just in the refining, but embark with them into a shredding business as well. So the work over the last quarter has really been around funding. They've taken that upon themselves to find the funding for the JV. Electric team, commercial and technical have been working on the business plan, so review of equipment suppliers around the world. And also really benefiting from the feedback of global battery makers that have had a number of years of black mass shredding experience with third parties and understanding what they like, what works, what doesn't work, how we can do things better and then a lot of discussions with stakeholders. And so stay tuned, we have more to do on that. We have regular meetings with this group, and I think there's a lot we can do together. If you turn over on Page 21, actually, you'll see the map of the, I guess, the closed loop that we're really trying to create here. We've got, again, plant scale refinery that we'd like to commercialize. If we can build a shredding facility south of Toronto, capture battery scrap, then send that black mass north of Toronto to refine it and separate the metals into their constituent elements, you've got a nice proximate closed loop with a very small carbon footprint by way of transport. And importantly, we distinguish ourselves in terms of how we're approaching commercial discussions in that we're not trying to buy the black mass. Long-term battery makers have no intention to sell their scrap off their manufacturing floor only to buy it back the next day. And so this, again, much like the LG relationship on cobalt, it's a relationship, and it's a margin-based relationship. For us, we get the benefit not just of exposure on the shredding but of a steady supply of material up to our refinery. And it allows us, again, to expand, expand our business model and we're not going to limit ourselves to that market either. So that's the business model integration. The other -- I guess the other piece I should mention on the refining side is when it does come in to our refinery, to be able to integrate a black mass plant with our cobalt plant has other advantages. Mark showed you an image and talked about the MHP we're producing. As we commission the cobalt plant, that MHP, we can stream out the cobalt and make the battery-grade sulfate. And so it's a step approach. We think it's a cautious one and a logical one by way of de-risking the process and gradually moving towards battery-grade product production through recycling as opposed to just commercial products, which is fine and generates money. But closing the loop completely, returning it back supply chain is something that will come. It's just the market is not ready for it yet given the infrastructure in North America. All right. Maybe I'll go to 23 here and talk about some of our near-term milestones. We have said on a previous call or maybe 2 that we anticipated 2023 was going to be challenging. With hindsight, I'm pleased that we moved, I guess, relatively early compared to maybe other players in the commodity space to kind of pull in our horns and try to mitigate the pressures that we saw, and I think that's paying a price. It's not what we want it to do, but it was the right thing. And thanks to Mark and the team and the work we've been doing over the last couple of years on black mass, we didn't have to sit idle. We were able to use what we have, the team, the process, the equipment and accelerate our black mass strategy. And so as those of you who follow the story know that ours is a multipronged story of taking a permitted met site and doing cobalt and then recycling nickel and perhaps manganese and having everything in one location. So with this pause on the construction, we were able to move Phases 1 and 2 together simultaneously, and that's going to yield some benefits as the market starts to recover. So on this page, you can see a number of milestones, keep receiving the long-lead equipment items that Mark outlined. We will have more information for the market on the black mass trial and share with you some of the learnings and how we distinguish ourselves. Government funding, we've got some short-term sources we think we can yield. And as I alluded to very early on in the call, we have a bigger solution for the cobalt facility that we are spending a lot of our time on. Outside of the -- that met site, we've got Iron Creek, a little bit of field work. We'll have some news for that. We're also permitting a 10-year plan, so that when we do start drilling around the U.S. Forest Service, properties around our Iron Creek asset, we can move with a little bit more expediency. And then lastly, the Bécancour study. Again, that's our second refinery, -- great opportunity to work with Quebec in Canada on a battery materials part that already has FROM, Ford and BASF as potential downstream clients. And so we will move forward with that in due course to do a study and see how we might integrate our operations there as well. So we'll open it up to questions now if anybody has any.
Joe Racanelli: Galine?
Operator: [Operator Instructions] Our first question is from Matthew O'Keefe with Cantor Fitzgerald.
Matthew O'Keefe: Just, I guess, my main focus here is really around liquidity. I mean, yes, you did add that financing which has certainly helped, but your working capital position is still kind of low given your burn. So a couple of questions on that. So one, you still have long lead items coming in, and the question around that is, are those all prepaid? Or are there still costs associated with these preordered items, these long-lead items? And two, with additional sources of financing you have -- no, sorry, you have the government and you've got Three Fires group that are sort of promising some money, but we've been hearing about that for a while. So what's the holdup on, a, getting the provincial government funding; and b, the deal that we struck, I mean from what I can see, you satisfied your side of the deal, so where's Three Fires with their portion of equity financing?
Trent Mell: Yes. With Three Fires, I think we jointly agreed to put that aside for now. I mean, I think really what happened, Matt, and you'll recall, right, we were going to do 10-10 financing back in July, August. With the advent of the announcement of the LG contract extension, our book filled up rather quickly and just Three Fires wasn't in a position to move, and so that really is in their court. So I probably -- I mean -- I guess their feedback is they'd like to explore that. But right now, really, the focus is on getting the commercial pieces together. The real advantage I see in the shorter term with Three Fires is getting that upstream investment. And if they are taking responsibility for sourcing the capital and we're doing the technical, it's a great value add for our shareholder base. On the government piece, yes, and we've talked about this in the past, we've got a number of commitments that are out there from 2 levels of government. I think we're close. I can look to 5 of it now and say I think we're looking, and I can't say days, weeks, it's kind of out of our control right now. But I'd say $5 million is approximate. We've got another potential $10 million behind that, that's going to require a little bit more back-and-forth on terms of release. And then for the cobalt facility proper, that's a USD 60 million, not that we're trying to figure out. And we're feeling -- I'm feeling -- honestly, I'm feeling better about that than I have in about a year. I think we've identified -- the tools to fund a project like ours are finally catching up to us. We've been at this for 3 years. And now we're seeing the pockets of money open up, and I look to various government programs as well as when you start stacking up, these sources that include lead orders from government agencies, the commercial add-ons, the pile-on effect really, really does start to pick up momentum. So we're looking at, I would say, a couple of government programs. We're looking at commercial partners. We're looking at trading houses, and it's not something we'll see by the end of this year, but I'm quite optimistic that things will get more interesting for us as we move towards the summer.
Joe Racanelli: So just to add on to that, Matt. Sorry, Matt, just to add on to that. I mean, one key thing to take into consideration from a timing perspective on the funding has to do with the completion of the re-baseline report that helped de-risk the costs associated with the project. And I think factoring that development is -- also impacted some of the timing of the release of the funding that's been committed to us. So that review process, the ongoing process that we've been making are factors that have caused some of the timing issues that we've experienced on the funding. So with that de-risk behind us, as Trent just pointed out, we're hopeful that it'll be coming a little sooner than later.
Trent Mell: And I didn't answer the first part of your question, Matt, I apologize, on the equipment deliveries. We're now at the receipt date, so no new liabilities are being incurred. The items here are all reflected in our financials as commitments, and so it is really a question of delivery. Peter and the team have been focused on, just, cash conservation. And so we've had G&A reductions. That continues to be a focus into next year.
Operator: [Operator Instructions] Our next question is from David Talbot with Red Cloud Securities.
David Talbot: You guys are continuing this black mass trial through Q4, tweaking the process in the flow sheet. When should we expect that black mass report? And then assuming it's positive, how quickly might that lead into a planned 2,500 ton per year ramp-up, and assuming that's rightsized for viability?
Trent Mell: Yes. The report, we're working on it right as we speak. I'd like to say we're going to get that by the end of the year, but I think we have some immediate priorities around funding that has taken up the technical team's time. Some of these funding streams are all consuming in terms of the documentation that you need to submit. So I might -- Mark, correct me if I'm wrong, maybe end of January. Does that sound like a reasonable period of time for a black mass summary report?
Mark Trevisiol: Yes. I think that's reasonable. And that's exactly what Trent is saying. Some of our engineers are -- that would be working on the report are tied up with some of these other government funding initiatives. And again, parts of the report are going to be redacted, because there's IP associated with our process here. But I mean, the gains that we've made, I think, they've surpassed or they certainly surpassed my expectations as -- in terms of the quality of the product and the recovery rates that we're seeing. And we clearly identified the areas that we can optimize even more but will require more capital to do so in a 2,500 tonne per annum plant.
Trent Mell: And I'd say the -- yes, the desktop study still stands, right? I mean we've got a number of assumptions in there that we'll need to validate. So I think with this report that Mark's team is working on, the immediate next step will be to do a METSIM model tend to do equipment sizing. And then once we've done that and validated assumptions that we have made in our desktop study, it's at that point that we'll be able to get into some detailed engineering and look at lead time for long-lead equipment, tanks and vessels and whatever we may be lacking. And then look, and start -- I think in light of what we're seeing in the market today, we're not going to start construction or do any equipment orders until we've got the capital in hand. We -- and we know this. We've all been in the industry for a lot of years. But when we decided to pause construction in March, I mean it's tough to solve a procurement machine when you've got stuff being ordered and fabricated from around the world. And so it's like slowing down the Titanic. Well, I mean, in our case, maybe it's not a Titanic because we're not that big a project. But yes, I think we'll be very careful before we press start. I don't think the time line need be that long, but we don't want to get ahead of ourselves.
David Talbot: Yes. And would that CapEx be included in the $62 million of the cobalt sulfate plant? Or is that a little bit of an additional CapEx on that…
Trent Mell: Yes, different -- yes, David, good point. We're treating them as 2 discrete projects. So the USD 60 million is what gets the cobalt plant into production. And then with the black mass, the desktop study was a separate capital amount.
David Talbot: Okay. Do you have an idea of what that capital is?
Trent Mell: Well, that stop was about CAD 8 million, so I guess USD 6 million, I'm sorry. And so that's what we are -- what we want to validate with the next level of study. I don't know if we've agreed to feas. Maybe it's pre-feas. I think we can go to fees. But I think the network, the METSIM modeling and then the feasibility will [ thrash ] that around a bit.
David Talbot: And the 20 tons of MHP you sold, can you say anything about sales price on that? I'm assuming you're not booking revenue but applying that to capital. And then, I guess, more importantly, any feedback on the quality of the material that you're delivering?
Trent Mell: Do you want to say something that Pete?
Peter Park: Yes. The sales price was about -- sorry, USD 82,000, and that's been recorded as part of the other income number.
Joe Racanelli: And then the feedback from customers. Mark, maybe you can address that? What kind of feedback on the --feedback from customers?
Mark Trevisiol: Well, we -- the contract that we have with our customer that we've actually exceeded the met content, and we're far below the impurity levels. And as I mentioned, we're continuing to work on both, and we've been successful in even advancing both, so it's well within the specification required. So that's been fairly positive.
Trent Mell: And I'd add to that, one of the comments that Michael, our VP of Commercial, received in marketing the product is this is -- MHP, in one hand, it's great, right, because it's a marketable product that can be sold in various channels. And it's not like a battery-grade product that you need to qualify. However, to make an MHP from a black mass, you don't see that in North America. I guess it's a first mover thing. And so part of that was just whereas most MHP is coming out of a primary production, like in Indonesia, ours is a little different. And so one of the early conversations we had to have with potential buyers is just deleterious elements and threshold levels and things you have in the battery that you wouldn't see in a mine. And that's been -- I think it's been very positive. And as we move forward with our process and done some of the work and tweaks that Mark has talked about, I think we've opened up a few more channels to buyers for MHP when we do expand that footprint.
Operator: [Operator Instructions] This concludes the question-and-answer session. I'd like to turn the conference back over to Joe Racanelli for any closing remarks.
Trent Mell: Yes, I just want to -- before we go to Joe, I just want to thank everybody for tuning in. These have been tough markets in 2023, but I like our prospects for 2024. I think and hopefully hit peak inflation. But I guess, more importantly, we took some early steps to insulate ourselves from a lot of that. And I think we're looking pretty good with most of the long lead equipment now at site. Just by way of reminder, if you look at what we have, that picture Mark showed at the aerial of the site, I mean, that's a replacement value of USD 200 million with $60 million to go. And so from a cost perspective, it looks like a small -- it's not like building a mine where you're going to be 10 years and $1 billion and questions around permits. This is a site that is permitted, it's operating, it's got low capital intensity. We've got the commercial contracts. We've got the feed in. We've got the contracts out. LG is buying 80%, and I will tell you, there is a bit of a battle for that remaining 20%. It's effectively sold on paper. I'm really looking forward to it. Thank you to our shareholders for hanging in there, and I'll turn it over to Joe.
Joe Racanelli: Thank you, everyone, for joining us today. And if you do have any follow-up questions, please feel free to reach out. We will continue on providing updates on our progress, and we'll be disclosing announcements as they unfold. Our next slated call when we'd provide an update will probably be towards the end of February, early March as we report our year-end results. And until we speak, good luck to everyone. And for those in the U.S., Happy Thanksgiving and a little later from then, season's greetings and tidings.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.